Operator: Good day, and welcome to the Information Services Group Third Quarter 2021 Results Conference Call. Today’s call is being recorded, and a replay will be available on ISG’s website within 24 hours. At this time, for opening remarks and introductions, I’d like to turn the conference over to Mr. Barry Holt. Please go ahead.
Barry Holt: Thank you, Operator. Hello and good morning everyone. My name is Barry Holt, I’m a Senior Communications Executive at ISG. I’d like to welcome everyone to ISG’s third quarter conference call. I’m joined today by Michael Connors, Chairman and Chief Executive Officer; and Bert Alfonso, Executive Vice President and Chief Financial Officer. Before we begin, I’d like to read a forward-looking statement. It is important to note that this communication may contain forward-looking statements which represent the current expectations and beliefs of the management of ISG concerning future events and their potential effects. These statements are not guarantees of future results and are subject to certain risks and uncertainties that could cause actual results to differ materially from those anticipated. For a more detailed listing of the risks and other factors that could affect future results, please refer to the forward-looking statement contained in our Form 8-K, that was furnished last night to the SEC and the Risk Factors section on ISG’s Form 10-K covering full-year results. You should also read ISG’s Annual Report on Form 10-K and any other relevant documents including any amendments or supplements to these documents filed with the SEC. You will be able to obtain free copies of any of ISG’s SEC filings on either ISG’s website at www.isg-one.com or the SEC’s website at www.sec.gov. ISG undertakes no obligation to update or revise any forward-looking statements to reflect subsequent events or circumstances. During this call, we will discuss non-GAAP financial measures, which ISG believes improves the comparability of the company’s financial results between periods and provides for greater transparency of key measures used to evaluate the company’s performance. The non-GAAP measures, which we will touch on today, include adjusted EBITDA, adjusted net earnings, and the presentation of selected financial data on a constant currency basis. Non-GAAP measures are provided as additional information, and should not be considered in isolation or as a substitute for financial results prepared in accordance with GAAP. For the reconciliation of all non-GAAP measures presented to the most closely applicable GAAP measure please refer to our current report, on Form 8-K, which was filed last night with the SEC. And now, I’d like to turn the call over to Michael Connors, who will be followed by Bert Alfonso. Mike?
Michael Connors: Thank you, Barry and good morning everyone. Today, I will review our strong third quarter results, our continuing business momentum and our outlook for the fourth quarter. ISG had an outstanding third quarter positioning the firm for the best year in our history on nearly every financial metric. In the quarter, we generated record global revenues of $71 million up 15% including record revenues in the Americas and Asia Pacific. We continued to expand our recurring revenues up 10% from last year to $23 million and $69 million year-to-date. We delivered adjusted EBITDA of $10 million up 24% with an EBITDA margin of 14% up 100 basis points. And we generated more than $18 million of cash from operations during the quarter, bringing our cash generation to $46 million over the last 12 months. We ended the quarter with a cash balance of nearly $55 million up 43%, and a net debt to EBITDA ratio under one, again, a record low. During the third quarter, we also held our first in-person event since the start of the pandemic, our signature ISG Executive Provider Summit in Chicago. We did not include this event in our previous forecast, given the uncertainty over COVID, but it delivered $1 million in revenue upside for the quarter, a nice addition. This is our fifth consecutive quarter of outstanding results coming out of the pandemic. Our portfolio of products and services built around all things digital is in high demand, and our success is being amplified by our ISG NEXT operating model, which continues to deliver value for our clients and our shareholders. Enterprises are wasting no time modernizing their technology environments for greater efficiency and using technology to reach customers and new and profitable ways. Getting it right is complicated. It’s not just about choosing the right technology or the right ecosystem of third party providers. It’s about fundamentally changing the way clients do business, changing cultures and operating models to make everything work. And this is where ISG comes in. Companies continue to turn to ISG to get their digital transformation right. And that is creating great opportunities for our firm. Our market leading portfolio of digital-ready products and services coupled with our ISG NEXT operating model with its solution centric approach and iFlex global delivery network means our clients have access to ISG talent and solutions anywhere, any time. It has a winning formula that continues to deliver results. Now from a client perspective, we served 500 clients in Q3. Of that total 67 were brand new to ISG, an increase of 16% year-over-year, a healthy sign for a growing business. Furthermore, we are growing our business with existing clients. Thanks to our ISG NEXT solutions centric approach, which allows us to bring together a range of capabilities to solve client needs. Year-to-date our revenues from existing clients grew by 17%. Turning to our regions. The Americas delivered an outstanding performance. We achieved a record $43 million of revenue in the quarter up 22% versus the prior year. During the quarter, we saw double-digit growth in our consumer services, banking and media industry verticals. Among our services, consulting, automation and research, we’re all up double-digits. Key client engagements during the third quarter included Comerica, Merck, Bell Canada, and CIBC. One key client win in Q3 came when we signed a new finance transformation engagement with a major medical technology company worth nearly $1 million. The win came as a referral from two technology providers involved in the RFP, who recommended bringing in ISG as an independent third-party to advise on the transformation project. Additionally, ISG has been awarded a series of engagements worth $1.4 million with a long time strategic client of ISG, a leading manufacturer of construction and mining equipment. We will advise our client around technology for their smart manufacturing capabilities and provide them with ongoing technology research. We also want a two-year nearly $3 million engagement with a top five U.S. bank that leverages our new training-as-a-service capability, and exciting new innovation from our ISG Enterprise unit that provides platform based learning and development to clients. We see great opportunity for this new recurring revenue business in a fast changing world where employees are asked to adapt to new operating models and technology as part of their company’s ongoing digital transformation. Turning to Europe. Our Q3 revenues of $20 million were down 4% versus the prior year. The European macro environment remains cautious due to uneven vaccination rates and approaches to the pandemic across the region. Clients have not yet adopted cloud-based technology at the same pace as the U.S., but we are seeing signs that demand is accelerating with increasing velocity expected in 2022. For Q3 Europe delivered double-digit revenue growth in our research business and in our public sector, insurance and media industry verticals. Key client engagements in Europe in the third quarter included Volkswagen, Nestlé, Solvay, which is a Belgium chemical company and the UK Ministry of Defense. During the third quarter, ISG was awarded a $3 million engagement with members of the German Cooperative Finance Group to provide technology strategy around cloud computing and provider ecosystems. ISG was selected based on the client oriented solution we design and our industry banking experience. Now to Asia Pacific. This region had a record setting performance with revenues at $8.1 million up 42% versus the prior-year, driven by growth in our energy, banking, insurance, consumer, and media industry verticals. Key clients in the quarter included the Australian government where we are doing work across multiple departments, Worley, which is an engineering services company to the energy and chemical sectors. Insurance Australia Group, Suncorp, Rio Tinto, and AGL Energy. We continue to expand our relationship with the leading banking and insurance industry client in Australia, executing a significant extension to support digital operating, model design and enterprise change management. We have now undertaken 10 different engagements for this client alone, generating $1.5 million in revenue this year, our fourth straight year, and working with them. Now, moving to our dividend. Shareholders of record at the close of business on December 3rd, where we receive a fourth quarter cash dividend of $0.03 per share of common stock payable on December 17, part of our ongoing efforts to enhance shareholder value. Now, let me turn to guidance. The pandemic continues to have lingering effects on several client industries and in certain markets in Europe where vaccination rates and COVID responses are still a bit uneven. As I mention at the outset, the demand environment remains strong, especially in the U.S. and Asia Pacific. Overall clients are accelerating their digital investments coming out of the pandemic with the pace varying by country and industry. We see a structural shift to more cloud adoption and digital transformation, with demand for ISG Services moving in lock step with these market dynamics. Balancing increasing demand tempered somewhat by the lingering impact of COVID and the upcoming holiday season. We are targeting revenues of between $67 million and $69 million and adjusted EBITDA between $9 million and $10 million. So with that, let me turn the call over to Bert who will summarize our financial results. Bert?
Bert Alfonso: Well, thank you, Mike. And good morning everyone. Looking at the quarter, our momentum continues following the outstanding first half results. Revenues for the third quarter were record $71.1 million up 15% on a reported basis, and up 14% on a constant currency basis compared with the third quarter last year. Currency positively impacted reported revenue of $0.7 million versus the prior year. And the Americas reported revenues were a record $42.8 million up 22% versus the prior year, and the second consecutive quarter of plus 20% growth. EMEA revenues were $20.1 million down 4%, while Asia Pacific report a record $8.1 million up and outstanding 42%. Third quarter 2021 adjusted EBITDA was $10.2 million up 24% from last year’s third quarter. Third quarter operating income increased 144% to $7.3 million compared with $3 million in the prior year. Net income was very strong for the quarter at $4.4 million or $0.09 for fully diluted share compared with net income of $2.1 million or $0.04 portfolio diluted share in the prior year. Third quarter adjusted net income was $5.9 million or $0.12 per share on a fully diluted basis compared with the adjusted net income of $5.2 million or $.10 per share and the same prior year's third quarter. Consulting utilization for the third quarter was 74% up 200 basis points versus the prior year reflecting the impact of our new ISG NEXT operating model. Our balance sheet continues to have the strength and flexibility to support our business over the long-term. In fact, our balance sheet has never been stronger. Net cash provided from operations for the third quarter was $18.5 million, and we ended the quarter with $54.5 million of cash up 43% from $38.1 million in the prior year. We repaid $1.1 million of debt in the quarter lowering our debt balance, the $75.6 million and our net debt to EBITDA ratio to a record low of 0.6 times. In addition, we paid $1.5 million in dividends to ISG shareholders and repurchase $2.1 million of ISG shares. Our average borrowing rate for the quarter was 1.9% down 27% from last year. And we ended the quarter with 49 million shares outstanding as of September 30. Michael, now share concluding remarks before we go to the Q&A. Back to you, Mike.
Michael Connors: Thank you, Bert. To summarize, we continued our outstanding performance in the third quarter. Record Q3 revenue up 15%, EBITDA up 24% with revenue EBITDA and EPS, all beating expectations. Our balance sheet remains strong, nearly $55 million of cash and a record net debt to EBITDA ratio down below one times EBITDA. Our new operating model ISG NEXT is driving a more profitable enterprise with a 100 basis point improvement in our EBITDA margin in the quarter. We see strong demand for all things, digital playing to the ISG sweet spot. We rewarded our shareholders with a third consecutive quarterly dividends and we have good momentum as we head into 2022. As always, we are focused on creating shareholder value for the long-term and we are steadfast in our mission to deliver operational excellence to our clients. So thank you very much for calling in this morning, and now let me turn the session over to the operator for your questions.
Operator: Thank you.  We'll take our first question from Marc Riddick with Sidoti. 
Marc Riddick: Hi, good morning.
Michael Connors: Hey, good morning, Marc.
Bert Alfonso: Good morning, Marc.
Marc Riddick: So, very strong results and that is certainly very encouraging for the remainder of the years. One, if we could talk a little bit about, maybe some of the initial findings that you’re seeing as far as some clients that maybe were, either hesitant. I know some other industries or groups or verticals were sort of moving a little faster than others. One, if you could sort of talk about maybe how that shift has evolved a bit as we’re heading toward the end of the year, and then maybe that might indicate for initial 2022 plants?
Michael Connors: Yes. Okay. Thanks Marc. Good questions. So look, first of all, maybe highlight some of the strongest industries right now. Baking, financial services up, call it in the 35% range, consumer services up 40%, just to give you a flavor there, media and technology, services industries are almost double what they were a year ago. On the flip side of that, I would say that the whole health sciences area, is still just emerging. So think about that as kind of flat to a few points up in terms of growth year-over-year. So, they’re a little slower on moving forward. I would say with digital transformation, and most importantly is manufacturing with all of the supply chain issues that have been going on. The manufacturing sector is not moving at a rapid pace on change, on digital, and on spending, because of the supply chain issues. So, we see the manufacturing segment, it was down in the quarter and we expect it to be down on the full year basis, with a slow return during the early months of 2022. So that maybe gives you a little flavor as to how we’re seeing the industries fallout, Marc.
Marc Riddick: Okay, great. That’s excellent to hear. And then I was, wonder if you could talk a little bit about, I think if I caught the number right, that you made mention of existing client spend growth exceeding. I believe it was about 17% is, what was in the prepared remarks. And I was wonder if you could talk a little bit about how that’s kind of evolving with – I don’t know if cross servicing is the best way to ask it, but whether it’s coming from existing services spending more within, what they would normally do, or, if you’re beginning to see the benefits of touching other parts of existing enterprises. 
Michael Connors: Yes. Good question, Marc. So on the existing clients, I would probably categorize what we are seeing there is maybe when I think about all things digital, I think they’re looking at kind of five different areas I would say, one is cloud, two would be cyber, three would be the customer experience. So think about the experience that they are trying to convey to their consumers and their customers, modernizing their technology would be the fourth area. So think about modernizing their applications, et cetera for the new world order and data. Data, and analytics. Those five areas, cloud, cyber, customer experience, modernizing their tech and data. Those are the areas that we’re seeing with our existing client base, their focus, their attention, their emerging of willing to spend more, and I’d probably put it in kind of those five categories market that helps.
Marc Riddick: No, that helps a great deal. And then I guess the last part for me is it’s kind of on the flip side of that is, it seems as though there are areas that may be paused, a lot of these other areas are prioritized and then maybe other areas will kick in like maybe a year or so down the road when it was us kind of thinking about given all the labor concerns is around automation. And so I was wondering, I don’t know if automation would be an area that would fit that bucket, but do you think there are other areas that could end up emerging as the next wave of spending growth with the customer base? Thank you.
Michael Connors: Yes, look Marc, I think kind of the workplace of the future, or how the workplace is going to be evolving and as they all, many of them saw during the COVID and the shutdown and the working from home and think about network, the whole network area we think could explode in the next couple of years. There’s a little bit of a slow down on 5G with, I’m sure you’ve seen with the Verizons and the AT&Ts, but the reality is the network has become even more important in kind of the new future of work. So, we would expect the network area to emerge over the 2022, 2023 timeframe. We think we’re well positioned. We have a terrific network business, with great data for our clients to be able to access and probably artificial intelligence might be the other area that, I would say that you would see emerging and not only from kind of the, if you will, the RPA space and automations, but moving it up the stream, if you will. And I think AI will also emerge over the next couple of years, a lot of talk about it, little bit of work, but I think that will be another area that would emerge over the next couple of years more.
Marc Riddick: That’s really helpful. Thank you very much.
Michael Connors: Yep. Thank you.
Operator: We’ll take our next question from Vincent Colicchio with Barrington Research.
Vincent Colicchio: Yes. Mike, terrific quarter. So in terms of Europe, what gives you confidence that next year will be a better year aside from the obvious, lingering pandemic impacts, the other behind the U.S. in terms of upgrading, in some key areas, have you guys done a good job, building a pipeline, keeping a pipeline there, and how have you kept, what have you done in particular to keeping clients engaged?
Michael Connors: Yes. Look, good question on Europe. So here’s where we think Europe will emerge next year. First of all, we do think Europe will emerge and return to its normal kind of growth patterns. And the reason we think that is that we are seeing it first of all, at the government level. So think about work around the Ministry of Defense in the UK government. We have just, we’re just closing on when we’ll close on some significant work with the Italian government during the fourth quarter. So, as we think about the government beginning to move into digital, that the commercial clients, as they emerge out of here also will go digital and cloud, cyber and the customer experience areas, and the kind of modernization that needs to occur in a lot of industries. We think we’ll pick up. Keep in mind one thing the manufacturing sector, especially over in Germany, has been hit hard by the supply chain area. And so we do not expect that to emerge rapidly, but we do think a lot of the other industries with the government being kind of a very interesting bellwether for us will emerge and we see that kind of growing as the year 2022 emerges.
Vincent Colicchio: And then for Q4 is part of the decline, seasonality is one of the factors, but as part of it difficult comps, what are your thoughts on that?
Michael Connors: Well, I think on, we’re certainly on the fourth quarter, we’re trying to balance the COVID environment. We got the holiday period everybody’s been cooped up. We expect, the whole leisure industry, frankly to have a significant uptick during the back half of December and into January, as people begin to emerge and head out into the – for the world again, if you will, and we’re not planning any physical events. So the one that we had in the third quarter, won’t be repeated in the fourth quarter. So, I think we’re trying to be relatively conservative on what we see. And of course, we are a full, a full boat ahead on all things digital.
Vincent Colicchio: And has there been any change in a willingness to accept price increases given the wage inflation in the industry?
Michael Connors: So look, I think pricing very interesting as you know, we are a premium priced firm. And one of the things we always look at is to be sure we confirm up if you will, our pricing. So, we are getting some price movement as we move into 2022, with existing clients, a little more challenging to get a pricing in, but we firm our pricing there with new clients we’re looking at, higher rates, if you will. So yes, we do believe that pricing will be, an additional factor for us in 2022. We’ll balance that because a lot of clients are dealing with supply chain issues that impacts their business, that impacts what they can spend. So, we’d rather have a $1 million than try to get $1.50 million. So, we have a pretty good discipline around firming and keeping our premium pricing without going too far ahead and using expansion of our work to get more revenue on a per client basis.
Vincent Colicchio: And one last one for me, if I will – can, is the acquisition pipeline substantial. And also, what does pricing look like? Is it largely too high free for your tastes at this point?
Michael Connors: So, we continue to be active as we have for years on the M&A front. We are disciplined, of course, everybody believes that the value of their asset is greater than we probably think it is. So it is a dance, but, we will stay disciplined and we believe we’ll be able to execute on the M&A during 2022 at levels that would make sense for ISG.
Vincent Colicchio: Thank you and great job.
Michael Connors: Thanks, Vincent.
Bert Alfonso: Thank you.
Operator: We’ll take our next question from Joe Gomes with NOBLE Capital.
Joe Gomes: Good morning. And thanks for taking the questions.
Michael Connors: Good morning, Joe.
Bert Alfonso: Good morning, Joe.
Joe Gomes: So Mike, I was wondering, if you could talk a little bit here on ISG Automation, and then haven’t really talked a whole lot about it in a – previously we had been talking about maybe something in the $30 million type revenue level for that segment. And just wondering if you might give us a little more color and detail, how that segment is doing and where you see that going.
Michael Connors: Sure, absolutely. Joe, so look, our ISG Automation business is humming along very nicely. It is growing at double digits. Demand is up for automation to help, speed cloud adoption to help develop on apps and streamline, some business processes, as clients continue their kind of digital transformation. So, the automation business is good. It is strong. It is having a good year as you might expect with all things digital. And we expect that to continue as we evolve into 2022.
Joe Gomes: Are you still thinking of use talking a little bit about how undervalued you thought that segment was? Are you still thinking of the same thing here?
Michael Connors: Yes. We continue to believe that this asset is an asset that is not valued in our share price today. And we’ll continue to investigate ways to unlock that value.
Joe Gomes: Okay. Thanks for that. And just looking at the income statement, SG&A came down sequentially and as a percent of revenues that it was kind of hitting a nice low level. Is there anything unusual in there? Or is that at a good either a level, run rate level going forward here? Do you see that popping back up some?
Bert Alfonso: Good morning, Joe. I would say that that’s an area that we’ve paid particular attention to in terms of our cost control. And you’re quite right, whether you look at it on a three month basis or a nine month basis, we’re about 500 basis points, better on SG&A, as a percentage of our revenue, while we’re relatively flat with our direct costs, which are more linear with our top-line. And so we believe that we can maintain the levels where we are today. It’s giving us a terrific bump in our operating income, which is up about 500 basis points in the quarter, and just about the same on a nine month basis. So that’s an area that we focus on a lot. We believe that’s part of our leverage, and we don’t think it will bounce back up in any significant way.
Joe Gomes: Okay. Thanks for that. And one last one, if I may, things are looking really good, you’ve done a great job this year. It looks like we’ve got a lot of momentum going into 2022, outside of the pandemic, which we’re all aware of, what other hiccups, potential hiccups could you see out there Michael?
Michael Connors: The only thing Joe, that we also keeping an eye on is, what are the implications in the U.S. of these, if I may call them those, these vaccination mandates and what, if any disruption will that cause for certain industry segments. We know that the retail industry lobby very hard to make these vaccine mandates effective after the holiday season to limit the issue on their staffing. And so it is the one area that, I think that could be a bit of a challenge for certain industry segments. What does that mean? Is it just a short term blip or is it something else for them for a period of time? So, we’ll watch that. And then of course we all of – in the U.S., we have all of the noise regarding the spending bill, the tax rates, and so forth. I don’t think that will have it to Q4 impact. We’ll just have to see what does that mean for industries and clients for 2022? So, both of those are kind of out of our control, so to speak, but when you ask, what do we kind of think about that would be the other area that we’re thinking about primarily on the one with the vaccinations and what the impacts that would have on staffing levels of businesses and therefore their thinking around spending.
Joe Gomes: Great. Great quarter. Keep it up. Thanks guys.
Michael Connors: Thank you, Joe.
Operator: Thank you. We’ll take our next question from Marco Rodriguez with Stonegate Capital Markets.
Marco Rodriguez: Good morning, guys. Thank you for taking my questions.
Bert Alfonso: Hi, good morning, Marco.
Michael Connors: Good morning,
Marco Rodriguez: Mike, I was wondering if maybe you could expand a little bit more on the new program or service did you discussed in your prepared remarks that the training-as-a-service, I’m assuming that was just launched this quarter. Maybe if you can give us a little bit of background on how that sort of came about, and if you can discuss what sort of content and the delivery methods in which customers get that?
Michael Connors: So this is a brand new kind of innovation from what we call our enterprise unit. As you know, we kind of broke our business in the Digital and Enterprise, and this is a very, very large, big name bank and what their problem, if you – their business problem that they asked us to help them solve, was really around with the distribution, and the work from home and the change in the work style, so to speak that they had, could we help them think about a new model for training and educating, their teams in mass? And so we came up with a new model, we call it training-as-a-service TaaS, if you will capability for us, which is really a platform based learning and development capability. It’s a recurring revenue stream in this particular case, the initial term is two years. And the value I think was a close to $3 million if I recall. And this is all about trying to ensure that their employees of the bank, understand their new world of work. How they’re operating it? How they’re going to access knowledge management? How are they going to ensure that they have the confidentiality and the sensitivity around all the banking scenarios that they may have? There’s a lot of regulations, of course. And now with a lot of bank employees working from home. What does that mean? Are they educated? Are they up to date? Are they aware of those things? So essentially, you might look at it as almost outsourcing their digital training capabilities to ISG if you wanted to look at it kind from a simple way, but that’s essentially what it is, is to – and it’s our first one, and it’s a big one, because it’s a big name client. And we’re just evolving and it works cited about it, because it’s recurring revenue.
Marco Rodriguez: Very helpful. And then, Michael, if you guys kind of heading into fiscal 2022, can you maybe talk about what your top three priorities are there to drive growth?
Michael Connors: Well, number one is kind of what we call internally, all things digital. And when we say all things digital, I kind of outlined to you kind of the five areas that our clients are working on. And therefore from a growth standpoint for us, these are all five areas we think are growth areas and that’s cloud. We brought in, as I mentioned, I think a quarter or two ago, we brought in an executive from the outside of partner from the outside to lead enterprise cloud. Cyber is another area. Our cyber practice business is both U.S. and in Europe. We have, co-leads, we’re evolving that business that is on the advisory side of things. Customer experience, think about the retailers, the travel and hospitality. We just signed two brand new airlines that we have not done business with for a number of years. Why around customer experience? Modern – modernizing the technology. So think about the applications. We just got an assignment with our client albeit a multi-million dollar, probably two year assignment. They have 5,000 unique applications. They want to take the 5,000 and make it 500. How do we do that? How can we modernize it? And then the whole data analytics, what do we do with all this data that we have through our customer experience? So, when we think about our growth area, that is the areas that we are focusing our time and energy on and investment dollars, primarily not exclusively, but primarily, in those areas. If that helps Marco?
Marco Rodriguez: Very, very helpful. Thanks for that. And another question, where you might get this kind of higher level, I mean, you’ve always done a very good job here in positioning the company with the trend of digital transformation and obviously companies have been accelerating that transition there as well. And this is obviously reflected in the results. But can you maybe talk about what sort of competitive reactions you may have seen from other industry players? And if you hadn’t seen much, are you anticipating any sort of reaction?
Michael Connors: So, I would say the number one areas there is a different work model from the peer group. You may recall Marco, we built and we were born virtual as a firm. We did it likely for a different reason when we did it, which is we didn’t want to put a lot of real estate costs on our books on a global basis. So, we built our firm to work at client sites or from home. And because of that, when this COVID things kind of hit our workforce, our teams around the world, it was very natural for them to evolve into the kind of environment that we have today under our ISG NEXT model we call iFlex where we can flex our workforce globally now, because primarily they’re working from home. Well, guess what, the peer groups who did not build their model that way, who have brick-and-mortar. I’ve learned that they also can begin to deliver from home, which makes it a competitive, if you will think about the pricing, when we don’t have to spend money on travel, et cetera, then the client is going to get a better value for money. So, I would expect that our peers also would see that aspect of that. But we think, we have kind of a unique combination of the ability of the relationships that we have built over time, and the fantastic ROI that we deliver to our clients based on the fees that we have versus the returns that they get is a competitive advantage that we think we will continue to have for a long time. But that’s how we probably look at it.
Marco Rodriguez: Right. Very helpful. And last quick question for me, the cash balance is pretty healthy here has been going up every quarter here, the last few quarters. Just – can you update us your thoughts there in terms of the level of cash you want to hold on the balance sheet and what you might be looking at – how you might be looking at deploying that excess capital?
Michael Connors: Sure. We, I mean, we don’t target a particular level of cash; the business is a good cash generative business. It’s really more about, where we think the uses are going. And since we put the dividend in place, we’re very committed to that dividend. And obviously we’ll have discussions with the board around, where, and what might be the right time to increase that over time. Certainly share buybacks, while there wasn’t as much buyback in this quarter. I wouldn’t look at that as an outlier of any sort. We’ve got a new authorization from the board, and we’re committed to returning value to shareholders through that mechanism. We’ll continue to read, we just start debt, it’s quite low, if anything, we’re under leveraged. So, with a great rate. So, we’re not in a hurry to accelerate reducing the debt, but certainly we’ll continue to pay that down. And then finally, the question that was brought up earlier around, inorganic growth, we’re quite disciplined in how we look at things, where we’re looking for opportunities where we can get accretion in year one, and find opportunities that will give us more capability, or other areas that we can invest in going forward. So, we’re hopeful that we can put some money to work in that space, although it’s somewhat unpredictable, but those are our focus areas. And we’ll continue to focus on those four areas going forward.
Marco Rodriguez: Understood. Thank you guys. Appreciate the time.
Michael Connors: Great. Thank you, Marco.
Operator: That will conclude our question-and-answer session. At this time, I’d like to turn the call back over to our speakers for any additional or closing remarks.
Michael Connors: Well, let me just close by saying thank you to all of our professionals worldwide for going above and beyond to serve our clients primarily remotely and delivering these terrific third quarter results. There has been no letup in our passion for delivering the best advice and support to our clients as they continue their digital journeys. And I couldn’t be more proud of our team. And thanks to all of you on the call for your continued support and confidence in our firm. Stay well, everyone, and have a great rest of the day.
Operator: That will conclude today’s call. We appreciate your participation.